Company Representatives: Jim Hannon - Chief Executive Officer Pawan Chhabra - Chief Financial Officer Camilla Bartosiewicz - Chief Communication Officer
Operator: Thank you for standing by. This is the conference operator. Welcome to the Altus Group’s Fourth Quarter and Full Year 2022 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: Thank you, Carl. Good afternoon, everyone, and welcome to Altus Group's fourth quarter and full year results conference call and webcast for the period ended December 31, 2022. The news release announcing our results was issued after market close this afternoon and is posted on our website and SEDAR profile, along with our MD&A and financial statements. Our presentation to accompany our prepared remarks as well the CEO letter to shareholders has also been posted to our website under the Investor Relations section.  Joining us today are CEO, Jim Hannon; and our new CFO, Pawan Chhabra. We’ll start with some prepared remarks, and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by email.  Some of our remarks on this call may contain forward-looking information. Forward-looking information is based on assumptions and therefore are subject to risks and uncertainties that could cause actual results to differ materially from those projected.  Forwarded looking information is further detailed in today’s news release and in our related MD&A on SEDAR. Although the forward looking information discussed today is qualified by the cautionary statement included in those materials and in this accompanying presentation.  Please be reminded that Altus uses certain non-GAAP finance measures, non-GAAP ratios, total segment measures, capital management measures and supplementary and other financial measures as defined in National Instrument 52-112.  We believe that these measures may assist investors in assessing an investment in our shares as they provide additional insight into our performance. Readers are cautioned that they are not defined performance measures and do not have any standardized meaning under IFRS and may differ from similar computations as reported by other similar entities, and accordingly may not be comparable to financial measures as reported by those company.  These measures should not be considered in isolation or as a substitute for financial measures prepared in accordance with IFRS. An explanation of these measures is detailed in today's IR materials, including the news release presentation, MD&A and hence with our filings with the Canadian Securities Regulators.  I would also like to point out that unless otherwise specified, all the growth rates we’ll be referring to on the call today are on a constant currency basis over the same period in 2021.  Before I turn the call over to Jim, I would just point out some changes in our MD&A. Mainly this captures business nomenclature that we feel reflects more conventional labels, and more accurately describes the metric in line with our existing definitions. For example, overtime revenues have now been renamed recurring revenues, and bookings was renamed new bookings, to be clear that this metrics include particularly because we exclude the contract value of renewals. We're also now providing a split between recurring and nonrecurring bookings. To be clear, we are not making any changes to how we account for these metrics, both will reconcile with our legacy reporting.  Other changes include branding related tweaks to business labels such as valuation of costs now being referred to as Appraisals and Development Advisory, the addition of free cash flow as the new capital management metric, and a refresh of some of our MD&A disclosures to help new investors better understand our business. In the spirit of continuous disclosure improvements, we have more changes planned for 2023 P&L reporting.  Okay, over to you Jim. 
Jim Hannon : Thanks Camilla. Pawan welcome to your first earnings call at office. We're really excited to have Pawan join the executive team, given his impressive track record at high growth tech companies. Pawan is a great addition to the crew. It's only been, not even been a couple of months, and Pawan’s already making significant contributions with this fresh perspective on the business.  I'll kick off with a brief review of our ’22 highlights and then turn it over to Pawan to review our fourth quarter results. I'll come back at the end to discuss our business outlook and priorities for 2023.  2022 was a period of business transformation and growth for the company. We made significant progress against our long term strategy while improving our business operations. This included optimizing our operating model, our go-to-market approach, platform architecture, as well as our front and back office infrastructure. Quite a lot to accomplish in a twelve month period, I'm incredibly proud of the team for the hard work that went into.  Guided by our management philosophy of simplification, focus and execution, we built a solid foundation to drive operational excellence, platform economics and to maximize our operating leverage so that we can scale even more effectively. And more importantly, clients continue to engage with us on their most strategic efforts, reinforcing our role as their trusted source for asset and fund level intelligence.  We're quite pleased with our financial performance in 2022. We finished the year with $735 million in revenues, up 18% at $135 million in adjusted EBITDA up 23% with a 90 basis point improvement in our margins. This translated to $53 million in free cash flow up 15% over 2021 on an as reported basis, and $1.89 in adjusted earnings per share, down a penny from 2021 that's due to our – primarily due to our restructuring program.  We improved top line growth across all of our business segments, and we grew adjusted EBITDA at the group level, driven by the standout performance at analytics. Our property tax revenue, while at record levels was moderated by the ongoing slowdown in appeal settlements in the UK. Our improved operating posture in 2022, demonstrated by our recurring revenue growth, new bookings growth and cash flow improvements sets us up for sustained growth in 2023. More on that after Pawan covers off Q4 results.  So Pawan, over to you. 
Pawan Chhabra : Thank you, Jim and the entire Altus team for the warm welcome, and good evening to everyone on the call. I'm looking forward to meeting many of you in the coming weeks and months.  I'm excited to be joining Altus Group at a critical inflection point of our transformation. To the credit of my predecessor and the rest of the executive management committee, the team has got an outstanding job positioning Altus for success. I look forward to building on this foundation and the ongoing execution of our strategy.  In fact, to Jim’s opening comment on optimizing our front and back office systems, I'm pleased to share that we have started the year with a new finance ERP system. This single source of truth will be the backbone for driving productivity, efficiency and increased collaboration across our operations.  Beginning with our consolidated fourth quarter results. Revenues were up 10%. This represents the 7th consecutive quarter of double digit top line growth, of which 6% was organic. Profit was negative this quarter, primarily due to the restructuring program that Jim just mentioned. Adjusted EBITDA was up 31%, driving a nice 310 basis point improvement in margin, which stood at 19%.  Adjusted EPS came in at $0.44 up 5%, and free cash flow was $19.2 million a substantial improvement over the prior period. In Q4 we completed our 2022 restructuring program. This resulted in a $17 million restructuring charge in the quarter, of which the bulk was related to employee severance. The full year restructuring program charge was $38.9 million. We expect cost savings related to this program to flow through into 2023.  Turning to our business segment performance, starting with the analytics, we have proven that we can drive high growth and expand margins at the same time. That's the path we're on at analytics. Revenue was up 27% and notably recurring revenue was up 38%, most of the growth being organic. We're seeing improved sales productivity and continue to benefit from healthy demand for our offers. A high percentage of our revenue growth continues to come from our existing consumer base, where we have significant runway for wallet share expansion.  We're also growing internationally, while accelerating growth in North America, validating the sizable opportunity we still have in our core markets. Adjusted EBITDA continues to grow with the higher revenues and improved operating leverage. The adjusted EBITDA margin in the quarter reflects revenue growth and improvements in our operating model. These improvements includes focus, go-to-market activities, cross border salary leverage, streamlined processes and better resource management.  Our full year margin of 20.7%, a 410 basis point improvement, demonstrates our strong operating leverage. This reinforces our confidence of continuing to expand margins into 2023.  Recurring revenue growth is an important KPI for us. It's where our investments have been focused. We're really pleased with the 38% growth in the quarter and 44% for the full year. At $302 million for the year, recurring revenues represents approximately 87% of total revenue. This provides us with a resilient revenue base.  Turning to new bookings. As Camilla pointed out, this metric only captures new business, not renewals. Our new bookings continue to be strong at $34.2 million, growth over an exceptional Q4 in the prior year. This is a solid leading indicator of future growth. Most noteworthy, recurring new bookings were $20.8 million up 15% year-over-year. We expect continued absolute recurring bookings grow.  Turning to a quick update on ARGUS cloud adoption, we ended the quarter with 64% of our ARGUS Enterprise users contracted on the cloud, right on plan. We expect to have a large majority of our ARGUS enterprise users contracted on the cloud by the end of the year.  Turning to the reportable segments under the CRE Consulting Business Unit, property tax was down in the quarter, consistent with our expectations. The growth in the U.S. and Canada was offset by a decline in the UK. As covered on the last earnings call, the UK continues to be impacted by the slowed cadence of settlement volumes due to the valuation offices resource constraints. This leads us with a higher backlog of opportunities as a volume throughput at the agency ramps up.  Appraisals and development advisory performed steadily in the quarter. This reflects continued healthy market demand and effective sales execution. And finally, turning to our balance sheet, we finished the quarter with a cash position of $55 million and with $320 million in bank debt. The funded debt to EBITDA leveraged ratio is defined in our credit agreement steadily improved to 2.13x below what it was in Q3 and well below our limit of 4.5x. Applying our cash, the net debt to adjusted EBITDA leverage ratio was 1.96x.  Regarding our capital allocation priorities, we'll continue to reinvest in the business to scale effectively, opportunistically pay down debt and maintain financial flexibility should attractive acquisition opportunities materialized.  With that, I'll now turn it back to Jim. 
Jim Hannon: Thanks, Pawan. As you just heard, a solid finish to ’22 against the backdrop of a very busy period of business transformation activities. I appreciate the tenacity and hard work of my colleagues. Their efforts and commitment to our mission are driving the growth and future success of the company.  Our mission is to help our clients maximize performance and manage the risk of their commercial assets. In today's environment of high interest rates and inflation, this is especially relevant and drives increased demand for our offers. We continue to closely monitor leading indicators and customer activity, and thus far our outlook remains positive. Our sales pipeline is building. We have sustained our bookings growth and our sales cycles or project implementation timelines are consistent with our expectations.  As laid out on the slide, we believe we have a fairly resilient business model with offers that drive quantifiable value for our clients. Above all, we have flexibility to respond to changing client needs and to pursue our business strategy across various economic cycles and market environments.  The investments we pursued provide us with sustainable improvements that give us confidence in our ability to successfully navigate a dynamic global business environment. In 2022 we proved we can significantly grow revenue and expand margins. Looking out through 2023, we expect to do the same. We're strongly positioned to grow our consolidated revenue and adjusted EBITDA.  Our 2023 outlook includes sustained consolidated revenue and adjusted EBITDA growth. On an organic constant currency basis, this includes double digit revenue and adjusted EBITDA growth and analytics with continued margin expansion.  Absorbing a down year in property tax due to market cyclicality as previously discussed, and single digit revenue and adjusted EBITDA growth in appraisals and development advisory, the analytics business model transition and reorganization is now in the rear view mirror. Our results demonstrate the benefits of the new model with high growth in recurring revenue and recurring new bookings and adjusted EBITDA margin expansion.  The momentum is expected to continue into 2023, particularly as we ramp up investments in sales, marketing and R&D to further capitalize on the market opportunity in front of us. At property tax, while we anticipate growth in the U.S. and parts of Canada, we don't expect to fully offset the impact of the annuity reset in the UK. We will continue to invest in customer acquisition activities with focus on strengthening our position for a rebound in 2024.  Our pipeline of cases to be settled in future quarters remains robust, which provides a positive backdrop for future growth. A high percentage of our tax clients engage our services consistently year-over-year or as cycles occur. While the specific assets may change year-to-year, the clients remain.  To wrap up, with the investments and changes in systems, architecture and operations largely behind us, 2023 is moving from business transformation to scaling profitable growth. Our focus this year is on the following four priorities:  Priority number one, scaling the company. We’ll double down on accelerating our expansion by (a) defending, connecting and growing our core franchises; (b) extending those franchises through carefully selected adjacencies; and (c) reaching into new market segments through advanced analytics driven capabilities. We believe the latter will double our total addressable market.  Priority number two, operating efficiently. We made great strides in 2022, and continuous improvements are critical. We’ll continue to maximize our operating leverage through improved efficiencies, prudent expense management and optimizing our investment. In 2022, our investments were predominantly focused on strengthening the internal processes, infrastructure and capabilities of our technology. In 2023 we'll be investing in sales capacity, marketing, client success and R&D.  Priority number three, creating customer value. Will build on and evolve our capabilities to meet client needs for improved performance and better risk management. We started the year with a soft launch of our latest Altus market insights premium edition offer. As discussed on the last call, this new offer extends our market intelligence and predictive analytics capabilities. With this offer, we're responding to a clear customer challenge. Customers are looking to bring non-traditional data from disconnected systems into their decision making processes.  In short, we're combining disparate data from Altus, the market and clients to create unique insights around future market and asset performance such as forecasts of future NOI performance, and insights into key market risk and growth drivers. This is the first offer of its kind for Altus and connects our valuation expertise, and data with data science capabilities to produce valuable insights for our clients.  Equally important, it will significantly reduce our client's time from months to weeks to build predictive models for their portfolio, enabling clients to make informed investment decisions faster.  And priority number four, engaging talent. It's about placing the best people in the right roles and empowering them for greater performance. We're continuing to make investments in our employee programs to position Altus as the employer of choice. We have a long and global growth runway ahead of us. CRE is a major asset class, yet digital transformation still lags other established sectors. Asset and fund level intelligence remains largely fragmented as CRE firms in just vast amounts of unconnected data and grapple with new technologies to extract value from this data.  We're uniquely positioned to connect the dots here. By connecting high quality asset data and technology, complemented by our deep industry expertise to deliver actionable intelligence that drives performance and mitigates risk.  Our investments over the past two years, organic and acquisitive, have been oriented towards delivering advanced analytics that will bring our industry from insight to foresight. We remain focused on executing this plan. I'm looking forward to continued success in 2023.  Okay, let's open the line up for question. Operator.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions]. The first question comes from Yuri Lynk of Canaccord Genuity. Please go ahead. 
Yuri Lynk : Hi! Good evening everyone. 
Jim Hannon: Hey Yuri! 
Yuri Lynk : Good quarter, especially in analytics. I want to talk a little bit about the growth, which seem to be driven by same customer expansion. Is that a reflection of your move into adjacencies or more a function of selling additional subscriptions of your traditional offerings into existing clients. 
Jim Hannon: Great question, Yuri. It's a couple of things. One, the growth was not limited to just existing clients, but as we've discussed, we have – a significant amount of our focus is on our high touch clients who will be consuming the more advanced offers, so we added over 240 logos again to the August portfolio in Q4. So there is growth at both ends of the market as there has been throughout the year, and we have large clients who are taking more advanced capabilities, and we've also seen more moves into valuation around debt portfolios in the market, which was something we were expecting and targeted and are well positioned to help clients with. 
Yuri Lynk : Okay, that's fair. A follow-up for me just on the analytics margin guidance for the year. I understand you're looking for margin improvement, but you know, do you care to put a band on that, like 25% to 30%. Is that the range we should think of? I'm just trying to think about how we balance that improvement with the investments we're going to be making in the product roadmap, R&D, sales, marketing, and all of that. 
Jim Hannon: Right. So the – I think I said this at the end of the Q3 call where we put up 590 bips of improvement. The numbers you're seeing coming through right now, we will have significant margin expansion. However, we made the conscious decision when we flipped the analytics operating model to hold off on adding go-to-market capacity, until we were sure that the teams where trained, understood the new offer structures, that we had our pricing worked out, that we had all the sales enablement in place. So it's at this point that we are adding capacity from a SaaS metrics model, which we don't put out there from an LTV to CAC. Everything says we should be ramping up those investments now and we will.  The teams, after putting an entire year of great recurring bookings, are clearly ready to expand moving to more managerial roles and expand our coverage. That coverage is not geographic expansion. Large amount of that growth we expect in the U.S. actually.  So it's doubling down on sales capacity, we’ll be increasing R&D investments, and as we're executing towards our target operating model, meaning expense to revenue ratios up and down the P&L across functional expense, we realized we needed to increase our investments in marketing, which we're doing as well. So margin expansion will be there, not at the same rate as the actuals, and that's a conscious investment decision we're making to capitalize on the market growth opportunities. 
Yuri Lynk : Okay, makes sense. I'll get back in the queue, thanks. 
Jim Hannon: Sure, thank you. 
Operator: The next question comes from, Christian Sgro of Eight Capital. Please go ahead.
Christian Sgro: Hi! Good afternoon, and thanks for taking my questions. Hey, Jim! The first one I'll ask is on the cloud adoption rate and we've achieved all goals for the year. So maybe you could speak a little bit to the pace of migrations to the cloud, you know once it's been contracted, the pace that customers are moving over it. And then how you're thinking about positioning the sales strategy around this move?
A - Jim Hannon: It’s a good question Christian. For the sales strategy there's obviously still 35% of our current base out there. But as we said, we continue to add hundreds of logos to the August franchise every quarter. So there's still a lot of room at the high end, the high touch part of the market, as well as the scale part of the market to add new clients. So we're constantly changing that numerator and denominator.  But we also expect now – I think I said this a year ago when we were at 42% that we're at that critical mass where the largest investors have gone to cloud. Most of the largest service providers have gone to cloud. The rest are going to follow. The way I look at analytics is we're a cloud company. So we expect a similar rate of growth this year, but now it's just a matter of when contracts expire and when the clients up their contracts and go to the cloud, because that's their choice. 
Christian Sgro: Okay, perfect. And the second question… [Cross Talk]
Jim Hannon: It wouldn't be a great choice from a roadmap perspective to not go to the cloud. 
Christian Sgro: Understood, understood. I think the second question I had, and may be related. You touched on the launch of the Altus market insights offer, which is no live. So any commentary you’d share on the go-to-market there, the strategy and conversations with customers. I don’t know if there’s been any feedback to-date in recognizing its early days. 
Jim Hannon: Right, so this is where we're seeing the power of flipping the analytics go-to-market model a year ago or a year and a half ago now, where the sales forces were very segmented from the folks who did valuations and folks who are ARGUS enterprise experts and then the data people who are separate.  We've been cross training that team for 18 months now and cross pollinizing the team. So they all sell the whole analytics portfolio and are well versed in doing so, and we're expecting that connection of data and then the advanced StratoDem Analytics capabilities we picked up last year. But it's all converging right now, and that those should really not be separable items going forward.  So it's just one sales motion. We have greatly simplified the portfolio from a consumption by our salespeople and by probably our clients going forward as we move to this offer structure, you can think of it as good, better, best type approach, where good is effectively self-serve, better is light expert touch and then full premium is effectively turnkey. So we're trying to make the portfolio as simple for the sales teams to position and for the clients to consume. 
Christian Sgro: All right, that's all helpful color Jim. Thanks for taking my questions. I’ll pass the line. 
Jim Hannon: Right. Thanks Christian. 
Operator: The next question comes from Richard Tse of National Bank Financial. Please go ahead. 
Richard Tse : Yes, thank you. Hi Jim, and congratulations on the new role. If we look back out further, you're obviously getting a tremendous amount of operating leverage opportunity, and [inaudible]. When this business hits kind of the scale, like what do you think is kind of a reasonable, normalized level of margins there? 
Jim Hannon: This business will run at scale or it'll run in the high 30’s. 
Richard Tse : Okay. 
A - Jim Hannon: Now, measured March to get there, we're constantly balancing the investment and growth and just always testing market assumptions. There was a lot of consternation in the market last year with rising interest rates. What would that mean for our clients? Our clients are taking advantage of depressed pricing and putting capital to work, which translates into a higher volume for us, so yeah. 
Richard Tse : Okay. And then you know in terms of acquisitions, how do you look at acquisitions in sort of a rising rate environment? Does it kind of impact your ability or appetite at all?
A - Jim Hannon: As Pawan talked about, we have significant capacity in our lines. Last year we looked at the market and it was like trying to catch a falling knife. We have strong partnerships across the ecosystem that could lead to acquisition opportunities. Our approach is primarily let's partner. Let’s build a relationship and let's prove out the combined business models. Let's let the markets – let's ensure that we were not heading into troubled waters, which we were not, as we've shown. And so with the higher interest rates it's – we have higher interest expense on the P&L which you can see from the rates, but our capital capacity is stronger than it's been in years. 
Richard Tse : Okay, and just a really quick one here. You know, I think you talked about a reasonably strong pickup in terms of selling into the base, and then you also said you've got a lot of new insight. Would you be able to share the mix of growth coming from new versus existing customers or is that something that you know you’re not sure at this point in time?
A - Jim Hannon: We're not breaking that out right now. 
Richard Tse : Any plans to?
A - Jim Hannon: Any plans to? Well, I assure you we're managing it internally. As Camilla said, we are – assume we've made some changes to the financial statements and the MD&A, we are looking at getting to more traditional SaaS type metrics in our disclosures. I'm not going to commit to Q1, but we are – we're setting the teams up to be able to report the business differently and more traditionally with SaaS companies. 
Richard Tse : Okay, fair enough. Thanks Jim. 
Jim Hannon: But yes, plans to – Richard, they have some plans to do it, yes. 
Richard Tse : Okay, thanks a lot. Thanks guys. 
A - Jim Hannon: Yeah. 
Operator: The next question comes from Daniel Chan of TS Securities. Please go ahead.
Daniel Chan: Hi! With a large proportion of your user base now in the cloud, what would you say are your largest near term opportunities? Is it still the cloud migration for the remaining third of your customers or has something else now moved to the top? I know you're really excited about the cross sale, so is it that or is there something else. 
Jim Hannon: It's both. It's those in combination. As I said, you know it's a matter of existing contracts terming out and then get in the conversion of the majority of the rest of the base over, and you know with 64% of them there, the amount of data and derivative analytics that we can do off of that data increases every single day, which just accelerates that cross sell, which we're already having success with, so it's both. 
Daniel Chan: That's helpful. And then on the cross sell, do those typically happen when the renewals happen or are you able to get those to occur outside of the renewal dates? 
A - Jim Hannon: The cross sells have been happening outside of the renewal dates. So we had a new equity valuation client. It's about two years ago that moved into the advanced analytics end of last year and have moved into – I'm sorry, end of ’21 and then moved over to their debt portfolios with us. So those are – that's all just new business for us. 
Daniel Chan: Great! Thank you.
Jim Hannon: It's not really time, but the advanced analytics are really timed with the ARGUS enterprise contracts. However, we made it where you can't get the advanced analytics unless you're on the cloud. 
Q - Daniel Chan: Thanks. 
Jim Hannon: Okay. 
Operator: The next question comes from Paul Treiber of RBC. Please go ahead.
Paul Treiber: Thanks very much and good afternoon. In regards to bookings, you know obviously a good quarter here. Any interesting comment just about having limited sales capacity this year. Do you have a sense, for the year? You know what's the magnitude of bookings that potentially were constrained just given the limited sales capacity or maybe another way to ask it is, you know what's the magnitude that your current LTV to CAC is higher than what you sort of see as your long term target there?
A - Jim Hannon: You know I love that metric Paul and I want to – there’s a lot of capacity to grow. We just needed to get the machine running smoothly before we brought more capacity in and then had to bring everyone up to speed. It was, let's get the existing team up to speed on the new offers so that you have that water-falling effect of train the trainers and we were watching the market, the macroeconomics of the market throughout last year. So, could we have done more? Yes, we could have covered more market segments and now we're very comfortable ramping up those go-to-market investments to capitalize on that. 
Paul Treiber: And in terms of the offers, you know I think they are actually well laid out in the annual report. You know the four of them and then the three different versions, go-to-market versions. You know what – you know one of them you have a soft launch. What's the timing of the others? You know should we expect them through this year? Is it going to take a couple of years there, and then just availability, general availability of the three different go-to-market versions for those.
Jim Hannon: The general availability will – outside of tax the general availability will be there. I'm sorry, I should say outside of tax for all geos that we currently serve, all the flavors of the offers should be in the market in 2023. So it will be rolling out throughout the quarters. But most flavors of the offers are there in some form today.  You can see our comments, we're heavily weighted around scaling profitably, and that's delivering advanced analytics at scale, and that's where the architecture of the Altus performance platform that we talked about on the last call comes into play to deliver those advanced analytics with scale. So we can we can produce the advanced analytics today. It’s about ramping up the volume of doing it to speed, training the models. 
Paul Treiber: And it’s interesting on property tax. I mean, you do mention it in the MD&A as one of the key offers. Is it because there's – you're building that product or the offer effectively from scratch for the two other flavors. You obviously have the turnkey version, and is that the reason why it will take longer to release market. 
Jim Hannon: It will. The rethink acquisition from early in 2022, because the ITM linked product which allows us to go-to-market today. We have a fairly large client base of large clients who are choosing self-serve options for managing their tax appeal process. That product is primarily sold in the U.S. today.  So we have, market – it’s go-to-market plans on that to increase our rollout across the U.S. and then drive adoption in Canada. For the UK market, it's not completely fit for purpose at this moment, but that's a short development cycle away.  And all of that is being reconciled with our APP, you know the one architecture that we are rolling out. So that we are ingesting data from all of our franchises, and we're turning all of that, then taking that data, linking it together through the technology that we picked up in the Reonomy acquisition, rolling it into the modeling capabilities that we picked up with the StratoDem acquisition and then absorbing across the ARGUS Enterprise Cloud information and our valuation management solutions information, which is very tech oriented already.  As its bringing it, all the data into one consumable platform to train the models to deliver the analytics. 
Paul Treiber: Okay, thanks for taking the questions.
Jim Hannon: Thanks, Paul. 
Operator: The next question comes from Scott Fletcher of CIBC. Please go ahead. 
Scott Fletcher: Thank you. I wanted to ask a question on the property tax. You put a number on the sort of annuity billing that's not going to come through in 2023. But I'm wondering, for the – is the backlog also going to sort of result in this non-annuity piece in the UK, also declining year-over-year or maybe you can correct my read, if that's not how I should be looking at it. 
Jim Hannon: The specific backlog is not a metric we put out there. But it's one that we watch very closely. So we could have mitigated some of the EBITDA decline that we saw in the year, that’s driven by – on the tax side of the business, if we had pulled back our go-to-market resources more aggressively. However, there is still an opportunity to – for the next month, the next month to still pursue clients in the UK against the 2017 list and when we do that, that revenue will flow back for seven years.  So these are highly valuable clients still closed. So even though we knew the constraint was not go-to-market, it wasn't client acceptance, it was the throughput of the valuation office. So our backlog for the UK has increased. Its significantly higher than we had expected because it didn't flow through the P&L yet. But the backlog has built. The constraint on next year is not from our side, it's from the resources that the valuation office puts on the processing of appeals.  So our backlog is up significantly. That will mitigate some of the headwinds, and we're continuing to build that backlog because it has a very high conversion rate and very high predictable conversion rate into revenue for us. So we're happy to still pursue those clients and get those appeals filed. 
Scott Fletcher: Okay, thanks. And then I wanted to ask a question on the new logo sign ups. Are you finding that they're adding the analytics modules at a greater rate than you're sort of existing customer base? Are you finding, you're able to do that cross sell at the time of sale a little easier? I’m curious on that. 
Jim Hannon: No, so the - most of the new logos are at the scale end of the market. So there are more of the standard edition or the self-serve. ARGUS Enterprise stand alone, purchase of licenses. So the new logos tend to come in on the legacy core franchises.  It’s the high touch existing clients who are coming in on the advanced analytics, which makes sense because they want to make sure – they have a trusted partner that they are turning these types of analytics over to and having the existing relationship makes sense, is logical. 
Scott Fletcher: Okay. And then just one last one on the restructuring costs. Obviously, you cut a lot of salaries over the course of the year. Was most of that coming from the businesses that you acquired or was there sort of that in addition to that as well? 
Jim Hannon: No, most of it was not from businesses acquired in the last couple of years. Some of its from businesses acquired years and years ago that never really integrated. And as you take a look at the consolidated P&L, you'll see our compensation expense is actually up, so this has been – while many CRE firms that are just, they are transaction volume based, where they cut, hunt – well, I guess as an industry thousands of jobs and where the tech industry cut thousands of jobs, we've added jobs on the analytic side of the business. So our headcount is up a bit year-over-year. Our compensation expense is up. So it's been a rebalancing to the high growth parts of the business.
Scott Fletcher: Okay, that's helpful. Thanks, I'll pass it. 
Jim Hannon: All right, thanks Scott. 
Operator: The next question comes from Stephen MacLeod of BMO Capital Markets. Please go ahead.
Stephen MacLeod : Thank you. Good evening, and thanks for all the color you've given. It's been lots of great info, so I don't have a ton of questions here, but just want to ask about two things. One is, can you just give a little bit of color around, you talked about international growth also being up in the quarter. And I'm just curious, if you can sort of give some indication as to where that fits in your priority stack. And then secondly, are you able to give any more color around Altus Analytics margins for 2023 and how some of those investments around efficiencies might weigh in the current year? 
Jim Hannon: Great! Sure, thanks Steve. International growth as far as in the quarter, it's going back again a year and a half ago, we took the then deputy CEO of the finance active acquisition and he is now the President of Analytics for EMEA. So we're getting the synergy of both of those sales forces selling across the products. Not everywhere. There's some parts of the financial active portfolio that's fit for purpose for French municipalities. But many of those team members have taken on the entire Altus portfolio, and having Fed run both organizations to get that cross pollinization of the finance active debt – you know the treasury management applications that are going to the market as well.  So you've got the increased capacity, the team's coming up to speed, the cross selling, that's what's driving the growth. As far as the focus on priorities, we're staying on our six core markets. So US, Canada, UK, France, Germany, Australia and we saw bookings growth in our – you know the Asia Pack region as well, as we've consolidated efforts down there across a couple of business units, we're seeing the synergies there.  So we are focused on the core markets. We're not chasing new markets because the addressable market in those six core markets represent such a tremendous opportunity. We know how to serve those markets there. It's a easy expansion for us. So I say easy, as my go-to-market teams are rolling their eyes right now. But we're staying close to the core here, because there's so much opportunity in the quarter.  Did that address your question? 
Stephen MacLeod : Yes, that's great thank you. And then maybe just on the margins as well. 
Jim Hannon: Okay, yes, on the margins. The – as you know Steve, we don't give guidance on that, but we have commented on our capital allocation strategy. I think if you take a look at the full year ’21 to ’22 it actually just – it exceeded what we're saying. We said when we think about how we do our planning and allocate our capital, we think that about 300 bips to margin expansion is the right balance of maintaining high growth, while expanding margins.  We are very comfortable at that level. The operating leverage will go through if we did nothing else. Those margins would expand from where they are in Q4. But as I said, we're adding the go-to-market capacity, we're increasing our marketing spend, we're increasing R&D. So we feel like we're putting – we know we're putting investments in the right places across the business.  So that will tamp down the margins as that capacity comes up to speed. As you guys know, you add sales capacity, you're going to be looking at six to nine months till there. What will you call a full time equivalent productive contributor? So it's just - that's just the nature of getting up to speed on the portfolio in sales in this industry. 
Stephen MacLeod : Okay, that makes sense. Thank you, Jim. 
Jim Hannon: All right. Thanks Steve. 
Operator: The next question comes from Kevin Krishnaratne of Scotiabank. Please go ahead. 
Kevin Krishnaratne: Hey there! Good evening. Thanks for talking my question. Hey Jim! Just a question on the bookings, the recurring bookings, can you talk about the pace of those bookings for the quarter? Was it sort of front end or did it come to the end of the quarter. And how do we think about the pace of bookings in Q1.  You know what I’m trying to get at is, I like the new disclosure. We know what the recurring revenue base is at the end of Q4, and I think if we take simply your recurring bookings and divide that by four and add that, you kind of get a good starting point for Q1. I'm just trying to think about how to think through in the quarter. And I think it would be helpful if we knew just how the bookings paced through the quarter. 
Jim Hannon: Great question. Some of the largest – most of the largest bookings came in pretty evenly throughout the quarter, so we were not scrambling at the end of the quarter to make it. We did have a couple of large ARGUS Enterprise deals come through right at the end of the quarter. But again, it makes sense, when you go back to the legacy of the relationships with these clients, these used to be term licenses or that had renewal dates. So you had that end of year push in the old software world. So the fact that these clients are still on that timeline can push them right to the end, because they of course want to negotiate right to the end as they should, but most of the deals came in pretty evenly across the quarter. 
Kevin Krishnaratne: Okay. And how – any thoughts on what you're seeing in Q1 so far? 
Jim Hannon: Are lead – the main leading indicator we queue in on is our pipeline coverage ratio and our pipeline coverage ratio as we sit today is – for Q1 it’s about 7% or 8% better than it was at this time last year. Now that's against the higher bookings number as well. So in absolute, the pipeline is higher than last year and the coverage ratio is slightly better than last year, as a multiyear, so we are compared this to our multiyear trends and what we expect on our coverage ratio, so that's a great sign.  When we look forward to Q2, so when we look at our Q2 pipeline of deals as of this point in time last year, our pipeline is up about 10% over where we were last year. Now, it doesn't mean that it's all going to convert at exactly that rate, but that's how we know if our NQL is turning to SQLs. That whole mechanism of top of funnel right through execution, where we've got metrics on all of it, and all of those metrics are saying we're in good shape for the quarter against our ’23 bookings plan, which is above our ’22 bookings plan.  Even though we haven't added the capacity yet or we're adding capacity now, they won't be productive. But just the existing team just continues to up their game. 
Kevin Krishnaratne: Okay, that's very helpful. Super helpful, thanks, Jim.  Second question, for your last one I've got is, you've talked in the past about moving to more like a valley based versus seat based, model. I'm wondering if you can give us any sense of how to measure I guess – I don't know if you want to call it ARPU, but say like ARPU or ACV per customer, ARUP growth per customer or maybe you want, maybe you're looking at things in terms of attachment rate as a percentage of AUM as these customers layer on more and more product. I'm just wondering, you know I guess it goes back to share of wallet.  So is there anything you can provide us with in terms of how those are trending and maybe ranges of what your top customers might be in terms of attach rate or percentage of AUM versus maybe not as highly attached to customers and just give us some views there on the opportunity. 
Jim Hannon: Sure. Again, great question. It's all of the above right now, until we really get to systemically producing the SaaS metrics. So a couple of things in there: The ARPU is going up, because it's the high touch existing clients that drove significant amount of the growth. Those newer clients tend to come up, come on in smaller numbers and then grow over time.  So higher – so at the high touch, because we're really focusing the majority of our resources there, and they are expanding into the advanced analytics we're seeing the ARPU come up. Not only in the current portfolios we serve, but they are also giving us more portfolios, whether it's on the equity valuation side or the debt valuation side or the market insights type work.  The other way we think about that question is – so we have a stratification of our revenues by client size, and then we look at our total addressable market, where you talked about attach rate as a percentage of AUM, that's how we size our markets. So we look at what's our revenue conversion or our revenue percentage at an AUM basis, and then we target the clients we don't have and assume that over time we'll get to that same type of percentage of AUM. And then there's the new offers on top of it, which should drive expansion there.  But the core way we're looking at it is back to the LTV to CAC ratio. So with the new infrastructure that's in play now, we can segment the markets, so the LTV to CAC ratio for high touch and scale or as you, I'm sure you can imagine are different, and we think about the investments there differently.  So at the high touch, the LTV To CAC is much higher, which is telling us double down in those markets, which is why we're doubling down in our core markets where those largest clients reside.  At the low – at the scale end, the LTV to CAC is still telling us that we're underinvested and so we have a different market pursuit strategy at the lower end. But it's really going to get down to us being able to produce gross churn down through net retention, and that was the whole point of making the significant capital expenditures into the infrastructure that we made in ’22. 
Kevin Krishnaratne: Got it. Jim, I appreciate the context and the color. I'll pass the line. 
Jim Hannon: All right, thanks Kevin. 
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jim Hannon for any closing remarks. 
Jim Hannon : All right, well as always, thank you everyone for joining us this evening. This is a very exciting time for Altus, and sure we'll be hearing from many of you from the analyst side and the investor side over the next few days and looking forward to the conversation. So thank you for your time. 
Operator: This concludes today's conference call. Should you have any further questions, please contact Camilla Bartosiewicz at Altus Group. You may disconnect your lines. Thank you for participating and have a pleasant day!